Operator: Greetings, and welcome to Celsius Holdings's Fourth Quarter and 2020 Earnings Call. At this time all participants are in listen only mode. A question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Cameron Donahue, Investor Relations for Celsius. Thank you, Cameron. You may begin.
Cameron Donahue: Thank you, and good morning, everyone. We appreciate you joining us today for Celsius Holdings's Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining me on the call today are John Fieldly, President and Chief Executive Officer, and Edwin Negron, Chief Financial Officer. Following the prepared remarks, we'll open the call to your questions and instructions will begin at that time. The company filed its Form 10-K with the SEC and initiated a press release today. All materials are available on the company's website, celsiusholdingsinc.com under the Investor Relations section. As a reminder, before I turn the call over to John, an audio replay will be available later today. Please also be aware that this call may be contained forward-looking statements, which are based on forecasts, expectations and other information available to the management as of March 11, 2021. These statements involve numerous risks and uncertainties, including many that are beyond the company's control. Except to the extent as required by law, Celsius Holdings undertakes no obligations and disclaims any duty to update any of these forward-looking statements. We encourage you to review in full our safe harbor statements contained in today's press release and our quarterly filings with the SEC for additional information. With that, I'd like to turn the call over to President and Chief Executive Officer, John Fieldly, for his prepared remarks. John?
John Fieldly: Thank you, Cameron, and good morning, everyone, and thank you for joining us today. As we have all been impacted by the COVID-19 pandemic, our fourth quarter and full year 2020 has been impacted as well, materially impacting several channels of trade Celsius operates in, including our health and fitness, vending, food service as well as reduced foot traffic in several channels of trade throughout the country. In addition, our EU, Middle East, Southeast Asia and Australia operations, which remain adversely affected by COVID-19 pandemic. Traffic and purchasing patterns remain disrupted and online ordering patterns, pant repurchasing and curbside pickup, maintained more prevalence in response to the stay-at-home orders and the shifts in consumer lifestyles. While we have started to improve in the third and fourth quarter with capacity restrictions as well as reopenings in hardest hit channels, there still remains uncertainty. As there potentially could be reclosings of additional cases increasing in our regions of operations, which could force extended closures in some states and countries. The health and safety of our employees and partners remains our top priority, and the safety precautions have been implemented, which we have developed and adopted in line with guidance from public health authorities. In addition, we continue to monitor the environment and implement contingency plans to mitigate risk to our business. The company's operations are fully operational, and our products remain generally available for customers. Even despite these constraints affecting our business in 2020, we persevered to set new records in revenue each quarter and for the full year of 2020. Celsius achieved a new record of over $130 million in revenue, with approximately $8.5 million in income and approximately $15 million in EBITDA. Our fourth quarter and full year results reflect the tremendous operational and financial achievements Celsius has accomplished. More importantly is the future opportunity as these achievements laid the foundation for future success. This is only the beginning. On the convenience channel side in North America, we did see tangible ACV gains, mostly through our expanded national DSD distribution and expansion through existing chains. These include the largest new customer, Speedway, which added about approximately 2,700 locations. Several large convenience chains had their coolers resets pushed back due to COVID-19 in 2020, but we expect a very strong spring quarter reset in this channel, both from those that pushed their resets in 2020 as well as new opportunities driven by our category-leading growth metrics, which are drastically outpacing the category growth rates. We also discussed another COVID impact in our third quarter earnings call, the aluminum can shortage. The shortage has impacted the entire industry. The large can manufacturers in the US have all initiated major expansion projects with expected completion times coming somewhere in the back half of 2021 and potentially through 2022. Celsius has successfully navigated this major disruption by leveraging our global relationships and strategic investors to secure the additional cans needed from both our Europe and Asia operations to support our growth. As outlined in our last call, this will impact our gross profit margins by a few points, but we remain confident that the company will run approximately in the low 40% gross profit range throughout 2021. This initiative and this initial conservative baseline expectation, which we expect to improve upon throughout the year. We continue to explore additional opportunities as they may become available to shorten the duration Celsius is impacted by the can shortage, and there is potential for additional domestic can availability in the back half of 2021. This is due to both a return to higher on-premise sales as well as timing of new capacity coming online, which will improve our operational performance. Turning to some of the financial highlights for the fourth quarter; overall revenue was up 48% to $35.7 million from $24.1 million in the year-ago quarter. Domestic revenue grew 67%, approximately to $28.4 million, up from $17.1 million in the year-ago quarter, which was driven by continued strong double-digit growth in traditional channels trade, and our expansion with world-class retailers and distribution partners. Our continued strong double-digit growth in our e-commerce revenue saw Celsius draw within 0.2 of a point of market share within Red Bull on Amazon per stack line. Additionally, our fitness channel saw a 22% growth rate compared to the fourth quarter of 2019, which is extremely positive given that many gyms continued to operate at limited capacities. International revenue increased 3% to $7.3 million from $7.1 million in the year-ago quarter. Our Nordic revenue increased by approximately 2% to $6.9 million. The market was still strongly impacted by channel closures from COVID and timing of promotional programs. Despite these challenges, we have fully integrated and leveraged our synergistic benefits from the acquisition of Func Food, which has immediately been accretive to our earnings and is an important step in our strategy to build a global dominant brand. For the quarter, we focused on the collaborative benefits for further integration with marketing, operations and financial integrations, which will improve efficiencies and operational performance. In addition to the strong revenue momentum in the fourth quarter, the company hit record gross margin percentage levels totaling 48.9%, and 54.7% when excluding outbound freight. Net income was achieved of $1.7 million and adjusted EBITDA of $3 million for the quarter, approximately an 8.5% EBITDA margin. Consumer demand for Celsius has grown stronger through 2020, with the most recent reported United States SPINS data US MULO plus convenience for the 52 weeks ending January 24, 2021, confirms that we have significantly outpaced the category across multiple channels. This includes a 57.9% growth in the total reported channels, outpacing the category growth rate by eight times, with an average ACV of approximately 25%, which demonstrates Celsius warrants additional shelf placements and provides a runway for future growth. Additionally, third-party data reflects the same trends with Nielsen reported all accumulated channels on February 20, 2021; the company's sales were up 88% for the last two weeks with a 1% market share of the category and up 97.9% for the preceding four weeks. The next highest comp for the most recent two-week data was Red Bull, which grew at 14.8% and 17.7% over the four week time frame. Our e-commerce channel, according to Stackline, which tracks energy drink sales on Amazon in the United States for the four weeks ending February 13, 2021, sales in dollars in the energy drink category by Amazon, including energy shots, grew at 177.8% versus the same period a year ago. And Celsius sales increased 224.8%, and our share increased 2.1% to 14.5% of the category, which puts Celsius as the third largest energy drink brand on Amazon, just behind Monster Energy at a 34.2% share, which grew at a 193.7% growth rate, and Red Bull, which is at a 14.7% share and grew at 171.8% growth rate. Being the third largest brand with this share on Amazon demonstrates and reinforces our market opportunity in the energy category in traditional retail. And with a level distribution playing field, a 14.5% share equates to approximately over $2 billion in reported retail sales according to recent total Nielsen category data. This is why we're so excited with our national distribution network, which will provide us with the opportunity to gain those placements and, again, verify Celsius warrants better placements and greater distribution. During the fourth quarter, we made significant progress on further building out our national DSD network to service accounts. We secured additional distribution partners in the Anheuser-Busch network, further expanding availability to new regions. In addition, we have initiated new hires to help optimize and educate our national DSD network. We recently hired Tony Guilfoyle as EVP of Sales in North America. Tony was formerly with Rockstar Energy, building their sales organization and leading the growth from initial revenues of $5 million to the multibillion-dollar organization, and the buyout through Pepsi. To expedite our growth, we have added over 50 new team members to support our national network and marketing initiative to drive channel expansion as well as educate and to support our partners. We have begun our rollout of Celsius branded coolers. And in the first quarter of 2021, we rolled out our first phase of the 1,000 coolers that are currently on order to support our DSD partners and key accounts. The initial rollout of the coolers is showing positive ROI with a payback of approximately three months and over a 200% increase in velocity rates. And to this date, we have placed over 200 coolers in key accounts. We have now built out our network to over 150 regional direct store delivery partners, with new partners covering Chicago, San Francisco and many other markets. We estimate that our DSD network now covers approximately 85% of major metropolitan markets in the United States. We further transitioned target over from wholesale to Big Geyser in New York City during the third quarter and have already seen volumes more than double in those locations. Due to this success, we have further transitioned to about approximately 82% of all targets to DSD as of today and have already begun transitioning CVS, Walmart and others. We anticipate beginning to see these benefits of our recent announced DSD service retail locations taking place throughout 2021, with the majority of the impact of these transitions and new locations reflected fully in the first quarter of 2021 and then ongoing throughout the transition of the remaining of 2021 with new accounts as well as our existing accounts. Today, in the United States, our total door count now exceeds over 82,000 locations nationally, growing 18,000 doors from the same point in 2018. We expect this number to grow even further in the coming quarters as retailers execute their planogram resets, which were delayed due to COVID. On our co-packing front, Celsius went live on production with a new dedicated co-packer plant in North Carolina. This brings our total US co-packer footprint to eight locations that are active, which will help protect the future out of stocks and support our massive growth. In Europe, we continue to capture incremental benefits and synergies from the full integration of Func Food Group, a Nordic wellness company, into our operations. The business was immediately accretive to earnings and is an important step in our strategy to build a global dynamic brand. As the United States and Europe operations were impacted by COVID and was impacted mainly due to supply constraints with the FAST protein snack portfolio which were partially offset by the growth in Celsius sales in the regions, we continue to see great opportunities and momentum in the market. In Sweden, we launched a great-tasting blueberry frost. And in Finland, despite shutdowns, we launched a new flavor, Positive Energy and Strotella bar [ph] under the FAST brand, which was the number one selling bar in the country. In addition, we are evaluating the UK and working with Amazon Europe to further expand our e-commerce opportunities throughout Europe. In China and APAC, recoveries continued, and we saw positive sales momentum regain. In China, we maintained a licensing royalty model in the market, where our distributor covers approximately 76 cities and now has over 60,000 locations of distribution as of the end of 2020. And in Malaysia, where we maintain a direct relationship with the local distributors, we maintain approximately 2,000 retail locations, with plans to reenter the gyms, vitamin-specialty gyms and other retailers as recovery continues. As with Europe and the United States, we see great opportunity to capitalize on the changes in consumer preferences for better-for-you offerings, and we see tremendous opportunities in the enormous market of Asia. Now moving to marketing; on the marketing front, we continued to activate, targeting new and existing customers where they live, work and play, building meaningful and emotional connections through robust integrated marketing programs, even while consumers are at home. Specifically during the quarter, despite continued COVID restrictions, we sponsored targeted events, both in person and in virtual, that filled over thousands of cans-in-hands in the quarter in key markets that were open. Continued to support our first responders, we handed out over 0.5 million cans to nurses, doctors, COVID testing sites, even the firefighters fighting the California fires were handed out cans. In addition, we reactivated our Live Fit Tour, which is an integrated experiential sampling tour. We further activated our SWEAT WITH CELSIUS on Instagram, which our live workouts have continued. And we further leveraged and built out our brand ambassador program and influencer programs, reaching more consumers in a meaningful way. In addition, we partnered with our key accounts, most recently with Walmart, where we handed out over 100,000 sticks to college students going back to school. And we kicked off a targeted integrated college brand ambassador program, which targets universities and key markets around the country. Celsius is driving the momentum in the energy category, hitting record North America sales growth rates in January and February of 2021 through tracked Nielsen channels, outpacing the category growth. Our brand is resonating with a diverse consumer base, expanding the category demographics and supported by the increased focus on health and wellness, specifically in the energy category, where functional energy is recognized throughout the industry as a driver of future growth and shelf presence with retailers. The Celsius consumer brings significant value to retailers, not just as an expanded age bracket and a 50% female demographic, but our consumers are reoccurring, regularly consuming Celsius as part of a daily lifestyle, further expanding the channel. Our national DSD network is now in place, positioning Celsius to grab further market share on an expedited basis, especially in the convenience channel. The entire team is excited and are confident we are just getting started on the opportunity in front of us. Before turning the call over to Edwin, I also want to add additional color on our ESG, environmental, social, governance commitments and initiatives, many of which have been ongoing. As we have increased our public visibility, both with consumers and investors, it is paramount that we articulate this dedication. With that, the company is currently in the process of reviewing best-in-class reporting standards to ensure all material components of ESG are covered in our initial report. In the interim, the following are some specific items detailing key operational components at Celsius on this commitment. We are committed to sustainability and to the principles to reduce, reuse and recycle. Approximately 95% of our products are sold aluminum cans, which are 100% recyclable. In addition, with our 12-ounce cans, we can ship approximately three times as many in a standard semitrailer versus 12-ounce glass bottles. Our can suppliers are leading initiatives, reducing the amount of aluminum in each can and also increase the amount of recycled aluminum in each can being manufactured. We have initiated a program to reduce the miles on cans through strategic placements of warehouses in conjunction with our co-packer locations and end consumers served, as well as focusing on more completed loads of full transit, also reducing the carbon footprint on our transportation. On a social and health aspects, Celsius is clinically proven functional energy drink, which accelerates metabolism, burns body fat and promotes a healthy active lifestyle. With our eight essential vitamins and no sugar, we are a great alternative to sugary energy drinks, encouraging people who live a healthy, active lifestyle. Our European team has implemented significant programs in addition to these items listed, including saving over 158 tons of CO2 emissions by utilizing rail on inbound shipments and have also implemented strategies to reduce plastics on packaging. As mentioned, this is just a highlight of some of the key items already at the core of Celsius, and we look forward to providing more details report reflecting our commitments to our ECSG environmental, social and governance policies. I will now turn the call over to Edwin Negron-Carballo, our Chief Financial Officer, for his prepared remarks. Edwin?
Edwin Negron-Carballo: Thank you, John. Our fourth quarter results for the three months ended December 31, 2020, delivered revenue of $35.7 million, an increase of $11.5 million, which translates to a solid 48% growth when compared to $24.1 million for the same period last year. The increase was primarily due to strong growth in North American sales revenue, which was a record $28.4 million, up a robust 67% from the $17.1 million in the prior-year quarter, and accounted for 98% of the increase in total revenue. European revenue for the fourth quarter of 2020 was $6.9 million, up 2% and from the $6.8 million in the fourth quarter of 2019. The European business was affected by some stock-outs, as well as the impact of the pandemic. Asian revenue amounted to $224,000, an increase of 6% from the prior-year quarter pertaining to our royalty income from our China licensee. Revenue from all other areas amounted to $117,000, up 266% from $32,000, reflecting the expansion or business development into other geographies. Gross profit in Q4 2020 increased by $7.3 million, landing at $17.4 million, which translates to a substantial 74% growth from $10 million for the same quarter in 2019. Gross profit margin for the three months ended December 31, 2020, was a very healthy 48.9%, up 700 basis points from 41.9% in the fourth quarter of 2019. If we then exclude outbound freight, gross margin profitability would amount to a robust 57.2%, up 750 basis points compared to the same normalized figure of 49.7% in the fourth quarter of 2019. Additionally, we performed an overall estimate or analysis of the $7.3 million increase, which reflected that approximately $2.5 million or 35% of this increase pertains to price or cost optimizations. Specifically, this relates to lower promotions or discounting in the quarter and the beneficial impact of the stronger euro currency, as well as some synergistic beneficial impacts in the supply chain. We then estimated that approximately $4.8 million or 65% of the increase is related to favorable volume impact. While we have very good tailwinds in all these areas during the fourth quarter, these results may not be indicative or transferable to the immediate future periods as there are indications that our margins will come under pressure due to increased costs related to the sourcing of cans to strengthening of the US dollar and increase in fuel costs, which have a direct and high correlation to our freight costs, and an indirect impact in the processing costs and the cost of other raw materials. Now turning to operational expenditures; selling and marketing expenses for the three months ended December 31, 2020, were $11.2 million, an increase of $4.2 million or 59.5% from $7 million in the same quarter in 2019. This increase reflects the impact of the consolidation of the operational results of our European business following our October 2019 acquisition. Specifically, our investments in marketing activities amounted to $4.7 million, an increase of $2.3 million when compared to the prior-year quarter. This increase not only reflects the consolidation of the European business, but also a catch-up of the experiential marketing activities since these types of events were significantly limited in prior quarters. Additionally, the 2020 quarter reflects increases of $520,000 related to sales and marketing investments for additional employee resources and $1.4 million of incremental expenses pertaining to trade marketing activities as well as distribution and storage costs. These increases are directly related to the greater business volume as well as include the impact of the European business integration. Additionally, currency impacts were estimated to increase sales and marketing expenses by $75,000 when compared to the prior-year quarter. General and administrative expenses for the three months ended December 31, 2020, were $5.7 million, an increase of $1.3 million or 30% from $4.4 million for the three months ended December 31, 2019. This increase also reflects the impact of the consolidation of the operational results of our European business. Furthermore, employee costs increased by $474,000 when compared to the prior-year quarter, which also reflects increases in headcount in order to have a good infrastructure to properly support the growing business. The increase also reflects the impact of foreign currency translation in this area, which was estimated at 3% of the total consolidated employee costs. Depreciation and amortization also reflected an increase of $220,000 when compared to the prior-year quarter. Additionally, there was a reclassification of amortization expenses of $430,000, which were previously presented in the other expense area during the prior quarters of 2020. Furthermore, stock option expense for the last quarter of 2020 reflected an increase of $144,000 when compared to the prior-year quarter. All other administrative expenses resulted in a net decrease of approximately $63,000 as the prior-year quarter included acquisition-related expenses of approximately $126,000. If we exclude stock option expense as well as depreciation and amortization expenses, operational G&A expenditures truly represented 8.8% of revenue, which compares favorably to 10.8% with the prior-year quarter. On a comparable basis, as it also excludes the $126,000 of acquisition costs. Other income and expenses; total other income amounted to approximately $1.3 million for the three months ended December 31, 2020, which represents an increase of $1.1 million from other income of $150,000 for the same period in 2019. This increase is mainly related to a favorable impact of net foreign currency exchange gains when compared to the prior-year quarter of approximately $330,000. Additionally, the current-year quarter reflected incremental net interest income of approximately $160,000, lower bond amortization costs of $50,000, the favorable impact of the re-class of amortization expenses to the G&A area of $430,000 and a net favorable impact of $140,000 pertaining to all other income and expense components. As a result of all of the above, fourth quarter net income totaled $1.7 million or $0.02 per basic and diluted shares based on 71.9 million basic shares and 76.5 million fully diluted shares. This compares to a net loss of $1.1 million available to common stockholders or a loss of $0.02 per basic and diluted shares based on a weighted average of 68.9 million shares and 72.6 million fully diluted shares in the year-ago period. Adjusted EBITDA for the fourth quarter was $3 million, an increase of $2.4 million when compared to $606,000 in the year-ago quarter. We believe this information and comparisons of adjusted EBITDA and other non-GAAP financial measures enhance the overall understanding and visibility of our true business performance. To that effect, a reconciliation of our GAAP results to non-GAAP financial figures has been included in our earnings release. Now, focusing on some liquidity aspects. As of December 31, 2020, the company had cash of $43.2 million, and working capital of approximately $64.9 million, which translates to an increase of $40.1 million when compared to $24.8 million as of December 31, 2019. Also, on October 30, 2020, the company paid off the bonds payable related to the acquisition of our European business in the amount of approximately $10 million and are now debt-free. Furthermore, cash flows provided by operating activities totaled $3.4 million for the year 2020, representing a $2.4 million increase from $1 million in 2019. The increase was primarily driven by operating income adjusted for noncash items. The increase was further driven by efficient management of accounts payable, accrued expenses and other liabilities, and partially offset by cash utilization pertaining to increases in accounts receivables, inventories and prepaid expenses, which are directly related to the significant growth in business volume. Now, turning to some additional metrics used to monitor the business. This provides a good perspective of our operational performance using Q4 business volume as a basis for their computations. Our DSOs, or daily sales outstanding, landed at 37 days as of December 31, 2020. Similarly, our inventory days on hand amounted to 91 days, and our payable days were also 37 days. Additionally, operational cash flow for the year amounted to 43% of operational income despite the net increases in working capital, which translated to a use of cash of over $13 million. As such, we have very good liquidity in order to plow back into the business and make investments that yield a high ROI and continue to accelerate top line growth. Finally, we have included the full year 2020 financial results in our earnings press release. That concludes our prepared remarks. Operator, you may now open up the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Van Sinderen with B. Riley & Company. Please proceed with your question.
Jeff Van Sinderen: Good morning, everyone. And let me say congratulations on the continued progress. It appears that the Nielsen data is showing acceleration vis-à-vis your comments regarding early 2021. Is that correct? And then any thoughts on the Nielsen sell-through data versus your actual sell-through in Q4? Just wondering if there might be something in terms of sell-in versus sell-through that didn't quite match some of the sell-through data that we're showing on Nielsen, any thoughts there?
John Fieldly: Yes, excellent. Thank you, Jeff. Yes, the team did -- the company did a great job. The team worked really hard. It was just a monumental year when you look at it all around for the company. But -- you are correct, that Nielsen data is extremely strong. What we're seeing -- I know the most recent Nielsen data had us somewhere around 80% to 90% growth rate on the two-week and four weeks. So that's looking really at Q1. The results we show here is the fourth quarter. But there has been some lags on the scan data to the sell-in on the timing of shipments with the company putting up numbers. But we've been pretty consistent on North America growth at a 60%, 66% growth rate in this most recent quarter in Q4, but we weren't really driving that trajectory. So we'll see how we transpire here. That is what's happening at the register, and it's great to see. We're just as excited as everyone else.
Jeff Van Sinderen: Okay. And then, could you maybe speak more to some of the resets that are happening that were delayed due to COVID? I understand some of those are happening for spring, and how you expect that to impact your business heading into the peak summer period?
John Fieldly: Yes. I mean, when you look at the stores that were added in 2020, it's roughly about 18,000 locations. And as we said, I mean, we're really impacted in 2020 due to the reset delays. So that looks very promising to take place really over the next several months is what we're hearing is spring resets. And mainly, a lot of them are kind of coming in the convenience channel. That's where we were really hindered in 2020. So we expect a sizable increase in our store count over the next several months as they get resets and these retailers go back into resetting deployment grants. We haven't disclosed any key accounts that will be coming on, but we're excited on what we're hearing. We'll let everyone know as soon as they are finally reset, but we're looking to be very optimistic as we sit here today looking at the Nielsen data and then what's to come with some new distribution coming on board in the next several months.
Jeff Van Sinderen: Okay, great. And then, if I could just squeeze in one more follow-up. Just any more color you could give us on flipping to DSDs in the near term, or, let's say, in the first half, where you aren't fully converted, just to look out there?
John Fieldly: Yes. We are fully committed to DSD. The transition -- when we transition our key accounts over to the preferred DSD model, we're seeing very much increased velocities, most importantly, keeping Celsius in stock and also getting those secondary and third displays and also, most importantly, getting the product cold. So we have started CVS. We further expanded with CVS. I mentioned that earlier in the call. If you recall, in Q3, we did convert the New York City metropolitan market over to Big Geyser. And due to the success we've seen there, we've already started to further transition out to other markets around the country. In addition, 7-Eleven is a big initiative in 2021, transitioning that volume over to DSD. We're working with all of our key accounts on this transitional plan. So 7-Eleven will be transitioning right around the May time frame, starting on the West, and then we'll be bringing it over to the East really zone by zone as they do the recording. So excited about that, and we are fully committed to DSD. All the new distribution coming on will be serviced by DSD as well.
Jeff Van Sinderen: And did you say 200% increases you were seeing with -- where you put in the coolers, was that right?
John Fieldly: Yes, that is right. We've already placed about 200 coolers. We have over 1,000 coolers on order currently. And we are facing this -- our team is doing a great job placing these coolers and strategic accounts. And we're seeing roughly -- fairly short period of payback, upwards to three months, and also over a 200% increase in some of these stores. And we do have some stores that are actually returning into the number one selling energy drink in these locations, so with the right placement. And kind of what we see on Amazon. We're the third largest brand on Amazon, giving Celsius the same opportunity and the same shelf presence will turn at the same rate, if not better than the major leading brands.
Jeff Van Sinderen: Okay, thanks, and continued success.
John Fieldly: Thank you very much, Jeff.
Edwin Negron-Carballo: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Jeffrey Cohen with Ladenburg Thalmann. Please proceed with your question.
Jeffrey Cohen: Hi, John and Edwin. How are you?
Edwin Negron-Carballo: Hello, Jeff.
John Fieldly: Excellent, Jeff.
Jeffrey Cohen: So now that it's been a year since the Func acquisition, I was wondering if you had an opportunity to break out any of the growth metrics, which would include that because I know that some of their streams -- or streams that are direct now and that were previously in your hands.
John Fieldly: When you look at the -- year-over-year, when you look at 2019 to 2020, you're looking at pretty much comparisons on apple-to-apple basis there. And I guess, when you look at -- yes -- well, remember, John, at the end of last year, Q4 fully consolidated was only two quarters, versus this year where we have three quarters. So Jeff, I don't know if that's what you're looking for, but it's a little bit of apples and oranges from that perspective. Yes. I guess when you look at the fourth quarter, Jeff, that's what I was alluding to in regards you're looking at fairly close to almost a comp. As we stated on an earlier call, they weren't impacted by COVID. And our FAST protein snack portfolio, which is a large chunk of sales that come out of Finland was impacted due to out-of-stocks. A lot of the confectionery manufacturers were operating at limited capacity, unfortunately, during that time. So we've had some disruptions in supply chain, but we do still feel very optimistic. We're very excited about the opportunity we have in Europe. Same opportunity in North America, is in Europe. We expect this to continue to improve as we go through and work through 2021 and get through this pandemic, which seems very promising.
Jeffrey Cohen: Great. Okay. Could you give us any additional color on how the launch has gone with Strawberry Guava? And any commentary on the to-go stick portfolio and its growth, perhaps, for this quarter, if you break it out or you'll break it out? Thank you.
John Fieldly: Excellent, Jeff. The Strawberry Guava, we launched, has been one of the most successful launches in the fitness channel. Although this fitness channel has been closed due to disruptions in given markets, it was one of the fastest-turning items in that channel we saw in the fourth quarter. It's a great-tasting flavor, also has done extremely well on Amazon. With that -- and we're looking to further expand the availability there. So if you haven't tried it, go out and try it. It's a great-tasting flavor, it is available. When you look at our stick business, our On-The-Go sticks, it is -- the bulk of our business is cans today. That breaks up the largest portion of our revenue, but we are seeing good growth with the On-The-Go sticks. They are now available at Walmart. We're seeing good rotations on Amazon. Vitamin Shoppe. Publix, down in the Southeast, took the sticks on chain-wide. So it's available to air all flavors. And we're getting more interest on those. We're seeing a lot of our core consumers purchasing our On-The-Go sticks. It's a lot of very versatile, also making some interesting smoothies and some combinations. So it is a good piece of our business, although the bulk of our business today is the RTD business.
Jeffrey Cohen: Got it. Okay. And then, lastly for me is, on the margin side; the fourth quarter margins were quite strong or exceptionally strong, I should say. And you seem a little cautious on the pull through, although you've got now eight active co-packer locations. So anything to read into there as far as modeling purposes and how you expect margins to play out during 2021?
John Fieldly: Jeff, there's a lot of variables there. And you're right, we're being somewhat cautious because there's again -- several aspects that play favorably now, even the strength of the euro, which we're seeing that pull back a little bit. We're also seeing an increase in cost as it relates to the cans and sourcing. And again, all these things, for the most part, we're anticipating, obviously, is going to have a short-term kind of pressure on downwards towards the margins. But the important thing is that we have inventory, especially as it relates to the cans, that kind of thing. And we're looking to do some things also to manage the impact of the currencies and so forth. But you're absolutely right. I mean there's a lot of variables there, and we're being somewhat cautious as it relates to the immediate Q1 and Q2.
Jeffrey Cohen: Got it, okay. Again, congrats on the quarter. Thanks very much.
Edwin Negron-Carballo: Thank you.
John Fieldly: Thank you, Jeff.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Vendetti with Maxim Group. Please proceed with your question.
Anthony Vendetti: Thanks. I was just wondering, John, if you could comment a little bit on the international growth. It looks like there was a pause this quarter. You mentioned some of the COVID-19 impact. Can you speak specifically to which countries you think saw the most impact? And do you think starting here in the first quarter, things start to bounce back, or is it going to be a couple of quarters in terms of growth bouncing back internationally?
John Fieldly: Yes. Thank you, Anthony. I mean when you look at the Nordics, they have been impacted. There's talks currently about Sweden also closing down again. I know Finland as well has been impacted. We're seeing some closures there. So Q1 likely will be -- has the potential to see another impact given some of the constraints and government closures and mandates. But the underlying business is extremely healthy and extremely strong. We have a lot of opportunity there, not only in Sweden, Norway and Finland, but also we're looking at some partnerships in the UK as well as Germany and Russia. So there's some opportunities as we further expand out. But it is -- we really are sitting at a point where, really, over the next several quarters, we'll have to see how this evolves. I mean the vaccine is rolling out, so -- and that's rolling out very quickly. So that should also provide additional confidence with these governments. And we're keeping an eye on it. But the underlying financial conditions are improving. Also, winter will be breaking as well. So, we're excited for that and getting to the -- back into summer beverage season. Keep in mind, historically, their fourth quarter has been one of their lowest quarters, historically. So it does have a seasonality to the business, and we expect -- just like any year, we do expect some seasonality within the business. But we are extremely optimistic.
Anthony Vendetti: Okay. And then just remind me, when did Func Foods close? Because it's now going to be apples-to-apples here in the first quarter. Was it partially apples-to-apples, or when did it close in '19? Was it end of third quarter, or fourth quarter?
Edwin Negron-Carballo: Yes. The actual date was October 25, Anthony.
Anthony Vendetti: October 25? Okay.
Edwin Negron-Carballo: Correct. 2019, October 25, 2019. So yes, there's -- and you're right. Going forward, that's one of the things I was making some comments prior. Even now fourth quarter, again, last year was basically two months versus this quarter being three months. But again, there's a lot of intricacy since last year because of the transaction. We were still not fully operational there, so to speak. They didn't have a lot of inventory. And then, at the end of Q4, it really took off.
Anthony Vendetti: Okay, yes. No, that was helpful. Thank you, Edwin. And then just in terms of these coolers, you mentioned the strategy this year of rolling those out -- 200 now, rolling out 1,000 or a little bit more than that. What's the total cost for rolling out 1,000 do you expect approximately?
John Fieldly: Yes. We haven't disclosed that. It is a positive ROI opportunity for us given our high velocity rates. We have 1,000 initially on order right now, and we are looking for some other opportunities with some key accounts we're in discussions with. And we have the potential to roll out double that number by -- really by the end of 2021. So we're working with some key customers. We're seeing -- as long as we continue to see a good rate of return on these, we'll continue to get those placed in key formats. But we haven't disclosed the cost, but it is -- we said the payback is roughly about three months for us currently. So it is a great investment for us. And we'll continue to get these coolers placed, and we'll continue to order them and work with our distributors and key accounts.
Anthony Vendetti: Okay. And then Speedway, you said 2,700 locations. So you're in all 2,700 as of today? Is that the right number? And is there any more expansion there?
John Fieldly: Yes. We're in approximately 2,700 today with roughly two flavors, and we are in the process of getting potentially the opportunity to get another -- some additional flavors listed in the next cut-in. So we think Speedway is going to be a great account for us. We've seen the great results at 7-Eleven over the years, the continued growth year-over-year at 7-Eleven and in many of our key convenience chains and partners. And if you look at where Speedway's locations are, those are generally really good markets for Celsius. So we think it's going to be a great partnership, and we're at just the beginning of Speedway. So definitely look for more flavors there on the quarters to come and years to come. So look for a great partnership.
Anthony Vendetti: And then, just in terms of the flavors, John, just whether it's Target or Walmart, is there -- when are those resets coming up? Is there -- do you believe near-term expansion or SKU expansion in those stores?
John Fieldly: Yes. When you look at the resets that we are anticipating, it is -- historically, it's been right around March 15 to April 15 is usually like the spring reset window and the convenience channel can get pushed back due to COVID as well, maybe runs into March or May. We're working closely with our partners. Everyone's on a little bit of a different schedule on timing this year. Usually, as we all know, we have a big event in North America at NACS in October, and then we look forward to those resets coming in spring in the convenience channel. So everyone is working on a little bit slightly different calendar in 2021, but we do expect these resets to take place over the next several months, and you will be seeing additional flavors on shelf. What's interesting on the flavors on shelf, as we spoke about this before, Anthony, is when we add additional flavors, it doesn't cannibalize sales. It actually increases sales at an increasing rate for the whole portfolio. So it's all incremental to us, and that's what we've seen. So we look forward to continuing to drive positive momentum.
Anthony Vendetti: Okay. And then, just lastly on the sales and marketing side other than the increased expense for coolers, are there any other programs you're running, whether it's additional sampling, or -- I know you guys used to do the Tough Mudder's -- sponsor that. But is there any other events coming up, whether it's the Olympics or anything like that that you're looking to put money towards marketing dollars towards to increase the exposure? I know you mentioned the college rollouts and the sampling there, but any other programs?
John Fieldly: Yes. We have a lot of great things in the work coming this summer. We have some big things planned. We're really excited about that. We've got a great summer launch plan, so be on the lookout for that. And we have a variety of things we're working on within our marketing vehicles. I touched on a couple of them on the call. We'll keep the -- we won't disclose too much of what we're doing in regards to tactics, but you will be seeing more of Celsius out there as we continue to increase our household penetration, really building that brand in a meaningful way with consumers. So we have a variety of different vehicles and mediums we will be executing as we really get to the beverage season this year, which we're really excited about. We think we're well positioned, better positioned than any year ever as we enter summer season, so.
Anthony Vendetti: Okay, great. All right, I'll hop back in the queue. Thanks, John. Thanks, Edwin.
Edwin Negron-Carballo: Thank you.
John Fieldly: Excellent. Thank you, Anthony.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
John Fieldly: Thank you. On behalf of the company, I'd like to thank everyone for their continued interest and support. Our results demonstrates our products are gaining considerable momentum. And we are capitalizing on today's global health and wellness trends, and transformation taking place in today's energy drink category. Our active healthy lifestyle position is a global position with mass appeal. We're building upon our core and leveraging opportunities and deploying best practices. We have a winning portfolio of strategy and team at a large, rapidly growing market that consumers want. Our mission is to take Celsius to more consumers profitably. I'm very proud of our dedicated team, as without them this tremendous opportunity would not be possible. In addition, I'd like to thank all of our investors for their continued support and confidence in our team. Thank you, everyone, for your interest in Celsius. Be safe, stay healthy, and have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.